Operator: Ladies and gentlemen, thank you for standing by and welcome to the Reata Pharmaceuticals’ First Quarter 2021 Financial Results and Update on Development Programs Conference Call. An audio recording of today’s webcast will be available shortly after the call today on Reata’s website at reatapharma.com in the Investors section. Before the company proceeds with its remarks, please note the forward-looking statements disclosure in the company’s press release. The company will be making forward-looking statements on today’s call. There are many factors that could cause results to differ from expectations, including those noted in the company’s SEC filings. On today’s conference call, non-GAAP financial measures will be used to help investors understand the business performance. These non-GAAP financial measures are reconciled with comparable GAAP financial measures in Reata’s earnings release and presentation from today, which can be found on Reata’s website. Today’s statements are not guarantees of future outcomes. Please also note that any comments made on today’s call apply only as of today, May 6, 2021 and may no longer be accurate at the time of any webcast replay or transcript rereading. Following the prepared remarks, we will open the call up for questions. We ask that you limit yourself to one question and one follow-up so that we can accommodate as many questions as possible. We are joined today by Reata’s Chief Executive Officer, Warren Huff; Chief Research and Development Officer, Colin Meyer; Chief Operating and Chief Financial Officer, Manmeet Soni; and Chief Commercial Officer, Dawn Bir. At this time, I would like to turn the call over to Warren Huff, Chief Executive Officer of Reata.
Warren Huff: Good morning, everyone and thank you for joining us today. We have a number of updates that we are excited to share with you this morning. We will start on Slide 4. First off, we are pleased with the U.S. Food and Drug Administration’s recent decision to accept our filing of our new drug application for bardoxolone for the treatment of patients with chronic kidney disease caused by Alport syndrome. The FDA will review the application under standard review time line and had assigned a PDUFA date for the application of February 25, 2022. The FDA also advised us that it is planning to hold an Advisory Committee meeting to discuss the application. We’ve been actively preparing for this meeting the last several months, and it will be a key focus for our team during the year. With clarity on the review timeline for our NDA, we are continuing our preparations for the commercial launch of bardoxolone in the United States, subject, of course, to approval by the FDA. Our core commercial leadership team is already in place and we are building the organization, infrastructure systems and processes necessary for the launch of bardoxolone in the U.S. These include sales, marketing, market access, patient support and distribution. We are pleased to have Dawn Bir, our Chief Commercial Officer, join us on this call and look forward to hearing more from her about our commercial launch preparations later in the call. Next slide. Beyond the acceptance of our filing of our NDA for bardoxolone for Alport syndrome, we’ve made significant progress in our FALCON study of bardoxolone in patients with autosomal dominant polycystic kidney disease. Since our last earnings call on March 1, we have enrolled over 70 patients and we continue to anticipate completing enrollment in FALCON by the end of the year. Regarding our pivotal neurology program with omav in Friedreich’s ataxia, we previously reported positive results from the MOXIe pivotal trial, the baseline controlled study and the delayed-start analyses. The FDA recently granted our request for a Type C meeting, which is scheduled to occur in this quarter. At that meeting, we plan to present data from the delayed-start analyses that we believe supports omav’s potential as a disease-modifying therapy in FA and discuss next steps for the FA program. With that introduction, I would like to turn the call over to Colin, who will discuss recent updates to our development pipeline. Dawn will then provide more detail on our ongoing commercial readiness preparations. Finally, Manmeet will review our financial results and provide an operational update.
Colin Meyer: Thanks, Warren. I will provide a high level overview of our Alport syndrome program, and will then review the progress of our other development programs. Starting on Slide 8, Alport syndrome is a severe hereditary form of CKD, which is caused by mutations in collagen that promote inflammation, fibrosis and loss of kidney function. Unlike other forms of CKD, which generally progresses more slowly and have low rates of actual progression to kidney failure patients with the most severe forms of Alport syndrome have a 100% lifetime risk of kidney failure. The high risk of kidney failure is due to the very rapid rate of progression observed in Alport syndrome, as shown on this slide. Adult patients with Alport syndrome progress 2x to 3x more rapidly than patients with more common forms of CKD, such as diabetic, hypertensive and ADPKD. The rate of progression of Alport syndrome is very rapid in pediatric patients. Alport syndrome pediatric patients progress approximately 4x faster than the most common cause of kidney failure in children, CAKUT, which is caused by congenital abnormalities of the kidney in urinary tract. Next slide. The clinical meaningfulness of the rate of loss of kidney function is exemplified on this slide, which shows the time to kidney failure based on historical EGFR data from patients enrolled in the Phase 3 CARDINAL trial. The data on the left side of this plot are historical data collected over a 5-year period before patients entered CARDINAL, which is noted as year zero on the X-axis. The overall trajectory is shown in gray and the pediatric patients are shown in dark blue. If these same patients followed the same rate of loss in kidney function over subsequent years, you can see that on average, the pediatric patients would reach end-stage kidney disease in only 5 years in all patients in only 9 years. This explains why Alport syndrome patients reach kidney failure at such a young age. Unlike diabetic kidney disease patients who on average reach kidney failure in their 60s, pediatric Alport syndrome patients reach kidney failure and need a transplant or dialysis in their 20s. Turning to Slide 10, the nephrology community has spent decades studying the impact of kidney failure on quality of life and survival. Patients who are able to obtain a kidney transplant require lifetime immunosuppression and often develop associated complications such as cancer. Patients who cannot obtain a kidney transplant typically spend many hours a week undergoing hemodialysis. Beyond the adverse effects on quality of life, renal replacement therapy greatly increases the risk of infections, cardiovascular disease and premature death. This slide shows the average decrease in life expectancy by age at kidney failure onset. I have highlighted the ages of 15 through 29 years since this is the age when the vast majority of patients with the most severe forms of Alport syndrome developed kidney failure. As you can see, once kidney failure occurs in these patients, they have an average loss of life expectancy of approximately 40 years. These data highlight how important it is to slow the progression of CKD. Next slide. As we discussed on last quarter’s call, chronic inflammation is a primary contributor to the progressive loss of kidney function associated with numerous forms of CKD, including Alport syndrome. Proinflammatory stimuli have two primary effects, including reversible dynamic effects and irreversible structural effects. Proinflammatory mediators can dynamically and reversibly regulate single-nephron GFR by modulating the glomerular surface area for filtration or Kf. In CKD, inflammation is chronically present, which persistently reduces single-nephron GFR and it is a key feature of CKD. When inflammation persists over long periods of time, as it does in almost all forms of CKD, it also drives kidney remodeling by activating profibrotic pathways. Over time, these chronic processes result in irreversible fibrosis and ultimately, the complete loss of function of individual nephrons. The targeted bardoxolone is Nrf2, a transcription factor with anti-inflammatory and tissue protective effects, which is suppressed in many forms of CKD, including Alport syndrome. Next slide. We have spent over a decade conducting a large number of preclinical studies to characterize the mechanism of action of bardoxolone. These effects are now well documented in the scientific literature and demonstrate that bardoxolone restores single-nephron GFR by increasing the filtration surface area in the kidney, reversing inflammation-mediated construction. We have shown that this effect is not associated with any changes in afferent or efferent tone, demonstrating that this effect is not associated with increases in intraglomerular pressure or hyperfiltration. This is a novel mechanism to dynamically regulate GFR. And as I will discuss in the clinical data, this manifests in patients as sustained increases in GFR with bardoxolone treatment, while patients are taking the drug. Now, on Slide 13, during our development program, we have spent much effort and time to determine how bardoxolone regulates the kidneys handling of albumin, the most common protein found in the blood. Albumin is often present in the urine of patients with kidney disease, and defects in the kidney’s filtration barrier caused by patients underlying kidney disease. Albumin is pathogenic and causes damage to the kidney when is excessively reabsorbed into the kidneys, which induces inflammation and fibrosis. In preclinical models, we have shown that bardoxolone affects albumin handling via two mechanisms. First, bardoxolone increases GFR, which increases filtration of albumin. Importantly, this occurs without any evidence of increased permeability or injury to the filtration barrier. Second, as we published in 2012, bardoxolone reduces the expression of megalin, the primary receptor that reabsorbs albumin in the proximal tubules of the kidney. This shunts albumin into the urine, reducing its reabsorption and subsequent activation of inflammation within the interstitium of the kidney. In summary, bardoxolone increases filtration of albumin and reduces its uptake, both of which are a pharmacological effect, not associated with injury. Next slide. In regard to irreversible disease-modifying effects, we have demonstrated that bardoxolone has anti-fibrotic effects and improves kidney structure and function in response to many models of CKD, including pressure overload, hyperfiltration, hypertension, high protein, diabetes and dyslipidemia. As I will discuss in a few slides, this effect on fibrosis in patients is represented by the off-treatment improvements we have observed in our Alport syndrome and diabetic kidney disease trials. Turning to Slide 15, the clinical data from our Alport syndrome development program mapped to each of these observations from our preclinical studies. We have shown that the reversible increases in EGFR, which are due to restoration of filtration surface area in the kidney are durable for 2 years versus placebo in the pivotal Phase 3 CARDINAL study. As discussed on last quarter’s call, for patients receiving bardoxolone, which is the mITT analysis shown on the slide, separation occurs in the bardoxolone relative placebo-treated patients in the second year. The rate of loss of kidney function based on the on-treatment changes in the second year is reduced by approximately one-third. Consistent with the separation in year 2 of CARDINAL Phase 3 and the ongoing EAGLE extension study, we have shown that these increases are sustained for a total of 3 years. This duration of sustained EGFR increase is meaningful. Since as I mentioned a few slides ago, on average, these patients would reach kidney failure in 5 to 9 years. We have also demonstrated a persisting increase after withdrawal in EGFR versus placebo after year 1 and year 2 in the Phase 3 CARDINAL trial. And we believe this increase is due to the antifibrotic effects of bardoxolone and is consistent with the disease-modifying profile. These off-treatment improvements also validate that the large durable on-treatment increases in EGFR are beneficial. When we analyze the off-treatment data using a longitudinal analysis to compute off-treatment slopes as opposed to calculating changes at discrete time points, we have demonstrated that there is a reduction in progression by approximately 50% in the bardoxolone-treated patients compared to placebo-treated patients. The data from the CARDINAL trial are also supported by data from the BEAM and BEACON diabetic CKD trials that also demonstrated significant on- and off-treatment improvements in EGFR relative to placebo. Overall, the clinical profile of bardoxolone is well-characterized and the on- and off-treatment differences in EGFR observed in the pivotal Phase 3 CARDINAL trial demonstrate a meaningful benefit in patients with one of the most rapidly progressive forms of CKD. Next slide. Our Alport syndrome development program has demonstrated an acceptable safety profile. Adverse events were mild-to-moderate, generally occurred within the first 12 weeks, were reversible with treatment discontinuation and were not life-threatening. We identified no safety findings in bardoxolone patients, who discontinued and received, on average, 33 weeks of treatment. By the end of the 2-year study, these patients had kidney function that was similar to placebo-treated patients, demonstrating that these patients did not experience any adverse kidney findings. Fewer serious adverse events were observed in bardoxolone-treated patients when mitigated against the risk of fluid retention. No new safety signals have been identified in the ongoing extension study. Overall, our Alport syndrome data are consistent with a comprehensive safety database of over 3,000 patients. In summary, we believe our data demonstrate that bardoxolone targets the underlying pathophysiology of Alport syndrome, and our clinical safety and efficacy data support an acceptable and positive benefit risk profile for bardoxolone for the treatment of Alport syndrome. I will now discuss our other CKD development programs on Slide 18. As you know, we are also developing bardoxolone for the treatment of patients with ADPKD, the most common hereditary form of CKD, with approximately 140,000 diagnosed patients in U.S. Despite standard of care, a high percentage of patients ultimately progress to kidney failure. Similar to the CARDINAL trial, the Phase 3 FALCON trial is 2 years in total duration, and the key primary and secondary endpoints are the end of the first and second years of treatment. We plan to enroll approximately 550 patients from sites in the U.S., Europe, Australia and Japan. Currently, more than 290 patients have been enrolled in Falcon, and we expect to complete enrollment by the end of this year. As shown on Slide 19, in the first quarter of 2021, we initiated MERLIN, a double-blind, placebo-controlled Phase 2 trial evaluating the safety and efficacy of bardoxolone in patients at risk of rapidly progressing CKD due to multiple etiologies, including common and rare forms of CKD, such as diabetic CKD, hypertensive CKD, IgA nephropathy, FSGS and others. The primary endpoint of MERLIN is the change in EGFR from baseline to week 12. We plan to enroll approximately 70 patients aged 18 to 70 with EGFR between 20 to 60 mL per minute and with one of several risk factors for rapid progression. We anticipate completing enrollment by the end of the second quarter of 2021. If the results of this study are positive, we would potentially proceed to a larger Phase 3 trial with similar eligibility criteria. Patients at risk for rapid progression experienced a significant risk of progressing to end-stage kidney disease, and are a population with high unmet need across multiple forms of CKD. Now, turning to Slide 22 with our neurology programs, I will provide an update on our program with omaveloxolone, or omav, in Friedreich’s ataxia. FA is a rare disease characterized by progressive loss of motor function with patients typically requiring a wheelchair by the mid-20s, and a median survival of 35 years. There are no approved therapies for FA. On our last call, we highlighted the results from the delayed start analyses where we compared patients initially randomized to placebo and omav to each other in the extension. We believe these analyses demonstrate that omav’s profile is consistent with disease modification. We requested and the FDA granted a Type C meeting to discuss the delayed-start analyses as well as the overall data from our MOXIe study and the overall development program. The meeting is scheduled for the second quarter of 2021. Next slide. We believe that the pharmacology of our Nrf2 activators may be applicable to a wide range of other neurological diseases that have a common pathophysiology of mitochondrial dysfunction and neuroinflammation. Omav and analogs have shown activity in numerous non-clinical models as well as patient biopsy samples, and we believe that pharmacology is applicable to a broad set of neurological diseases, including other movement disorders, such as PSP, Parkinson’s disease and Huntington’s disease as well as diseases that affect neuromuscular function and memory. Finally, on Slide 25, our earlier stage pipeline includes RTA 901 a highly potent and selective oral small molecule C-terminal modulator of Hsp90. Hsp90 is a molecular chaperone that facilitates the folding and stability of mini-proteins. RTA 901 increases transcription of Hsp70, another molecular chaperone that promotes cell survival in response to stress and affects mitochondrial function. RTA 901 has demonstrated activity in multiple models of diabetic neuropathy. It has been shown to reduce pain acutely in models of painful diabetic neuropathy as well as recovery of lost sensation in models of insensate diabetic neuropathy. Of the approximately 4 million U.S. patients with moderate or severe diabetic peripheral neuropathic pain, approximately half of those treated do not achieve an adequate pain reduction with available therapies. We have completed Phase 1 SAD and MAD studies in healthy volunteers and have demonstrated an acceptable safety profile with no safety signals, drug discontinuations or SAEs, while achieving appropriate safety margins. In the second quarter of 2021, we are planning to initiate clinical pharmacology studies to support the launch of a Phase 2 study in the fourth quarter of this year in patients with diabetic peripheral neuropathic pain. This study will be a randomized, placebo-controlled dose-ranging study using a standardized pain scale. I will now turn the call over to Dawn Bir, our Chief Commercial Officer, to provide an update on our commercial readiness of bardoxolone.
Dawn Bir: Thank you, Colin. Good morning, everyone. I will start on Slide 27. It’s an exciting time as Reata prepares for our very first potential launch and the commercialization of bardoxolone for the treatment of Alport syndrome, a rare and deadly kidney disease with no approved therapy. With the acceptance of filing of our NDA and PDUFA date of February 25, 2022, our timeline is clear. We have taken conservative steps to ensure launch readiness by Q1 2022 and have hired commercial leadership and their direct reports to support each commercial function. We have also been actively preparing the market through disease education efforts designed to create a favorable environment to support bardoxolone adoption at launch. Our disease awareness campaign launched over a year ago, and reaches nephrologists through website, digital, social, print and broadcast platforms. The objective of the campaign is to provide education on accurate diagnosis and disease severity, and highlight the urgency to recognize and treat Alport syndrome. Patient access to therapy at launch is also a key priority. The market access team has designed a distribution program to support product availability at approval. Ongoing payer and pricing research help us understand the reimbursement landscape and identify payer educational needs related to Alport syndrome, as payer education is critical to facilitating patient access at approval. Next slide. Alport syndrome represents a significant launch and near-term commercial opportunity for Reata. Knowing where patients are and who’s treating them today is important to launch planning. Currently diagnosed Alport syndrome patients and the physicians treating them have been located through ICD-10 claims data. Through this data, we believe there are approximately 14,000 projected diagnosed Alport syndrome patients in the United States, with the majority being treated by nephrologists. Claims data also indicates that there are approximately 4,500 nephrologists with diagnosed patients in their practice. This list can further be refined by volume of patients allowing us to target our launch planning efforts on the right audience treating patients today. We’ve also identified key market influencers. These adult and pediatric nephrologists have a broad reaching presence, and are recognized by their peers for their expertise in the diagnosis and the management of Alport syndrome. Continued disease education efforts, genetic testing programs and the introduction of a specific therapeutic option for Alport syndrome may help to increase awareness and recognition of the disease. Turning to Slide 29, with the fundamentals in place, we are now prepared to grow and advance our commercial launch strategy. We’ve hired a seasoned commercial leadership team with a combined 150 years of biotech and product launch experience at successful companies, including Pharmacyclics, Genentech, Alexion, Shire and BioMarin. Each has assembled strong teams to support all key commercial functions, including marketing, sales, commercial operations and market access. In Q1, we finalized the planning for our product distribution platform that will leverage a tightly controlled specialty pharmacy network and front-end patient hub. Commercial drug packaging has been designed, customer targeting is complete. As launch preparation accelerates, several key events will take place in the coming months, including the deployment of our market access directors. This team will be charged with educating top regional and national payers about Alport syndrome burden of disease. They will share pivotal CARDINAL data with pharmacy directors and seek coverage and reimbursement of bardoxolone upon approval. Additionally, we will finalize our patient access programs and design services to support reimbursement of out-of-pocket patient cost and bolster patient adherence to therapy. Branded launch development will gain momentum, and we will prepare to onboard, train and deploy our first sales force, a small focused team of nephrology specialists. We are moving forward quickly from a very strong foundation. I will now turn the call over to Manmeet to provide a summary of our financials for the quarter.
Manmeet Soni: Thanks, Warren, Colin and Dawn and good morning, everyone. Please refer to our press release issued earlier today for a summary of our financial results for the first quarter of 2021. I will be covering 3 topics: our cash position, our Q1 financial results and our operational readiness. Let me start with our cash balance on Slide 31. As of March end, we maintained a solid balance sheet with approximately $777.6 million in cash and cash equivalents. In keeping with our current guidance, we expect our cash balance to fund our operations through mid-2024. Moving to expenses, our R&D expenses for the quarter were $34.9 million compared to $47.7 million for the first quarter of 2020. Lower R&D expenses were primarily due to a net decrease in spend related to completed preclinical and clinical studies and manufacturing activities, offset by increased regulatory expenses for our NDA submission. G&A expenses for the quarter were $20.7 million compared to $20.8 million for the first quarter of 2020. G&A expenses were consistent with the prior year spend. Our GAAP net loss for the first quarter of 2021 was $67.5 million or $1.86 per share on both basic and diluted basis as compared to a net loss of $48.9 million or $1.47 per share on both basic and diluted basis for the same period of the prior year. Our non-GAAP net loss for the first quarter of 2021 was $41.9 million or $1.16 per share on both a basic and diluted basis as compared to a non-GAAP net loss of $29.6 million or $0.89 per share on both a basic and diluted basis for the same period of the year prior. The increase in GAAP and non-GAAP net loss is primarily driven by the recognition of tax benefits related to CARES Act totaling $22.2 million that we recognized in the first quarter of 2020 offset by a decrease in R&D expenses discussed earlier. Moving to non-GAAP measures on Slide 32, our non-GAAP R&D expenses were $28.1 million for the first quarter of 2021 as compared to $36.7 million for the same period of the year prior. Our non-GAAP G&A expenses were $12.8 million for the first quarter of 2021 as compared to $13 million for the same period of the year prior. To summarize, our non-GAAP operating expenses were $41.2 million during the first quarter of 2021 with multiple programs, reflecting the potential of our pipeline and key regulatory and commercial launch readiness activities. Next slide. We are making the necessary investments to ensure the strong and successful commercial launch of bardoxolone early next year, pending FDA review and approval. From an operations and manufacturing standpoint, Reata’s current and planned inventories of investigational product and potential commercial product is adequate to meet our 2021 and planned 2022 demands. We are actively engaged in key CMC development, registration and validation activities across the bardoxolone program to ensure commercial availability post approval and beyond. We continue to invest in and expand our medical affairs team to increase disease awareness and education in the nephrology community for Alport syndrome. Beyond our Alport syndrome program, the infrastructure and capabilities that we are building support our long-term goal of becoming a commercial global entity, providing a platform to support multiple additional indications and new product launches over the next several years and beyond. With that, I will turn the call back over to Warren.
Warren Huff: Thank you, Manmeet. As our presentation today indicates we’re making significant progress across our broadening set of programs. Turning to Slide 35, we have now fulfilled a major regulatory milestone for bardoxolone in Alport syndrome. We remain focused on working with the FDA during their review of our NDA preparing for an FDA Advisory Committee Meeting in continuing our preparations for a commercial launch next year, pending FDA approval. Additionally, we remain on track to file our MAA for marketing authorization in the European Union in the fourth quarter of this year. Additionally, we’re looking forward to the planned Japan New Drug Application submission by our partner in Japan, Kyowa Kirin, for bardoxolone for the treatment of CKD caused by Alport syndrome in the middle of this year. Finally, we remain dedicated to advancing omav in FA, and look forward to updating you on the next steps for this program following our Type C meeting later this year. That concludes our prepared remarks. And we would like to thank everyone who dialed in. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] The first question is for Yigal Nochomovitz of Citigroup. Please go ahead.
Yigal Nochomovitz: Hi, Warren and team, good morning. Congrats on the NDA acceptance for the Alport syndrome. And thanks for taking question. So you mentioned, Warren, in the prepared remarks that you’ve been actively preparing for the AdCom over the past several months. So could you discuss what you believe will be the key issues you expect to be raised by the Advisory Committee regarding the bardoxolone clinical program in Alport, and how you are preparing to address these issues? Thank you.
Warren Huff: Yes. Sure, Yigal. Thanks for that. Yes, I think that the – we’ve been, as I mentioned, in active preparation with the first-class outside help and review and, of course, have gotten a good review of the data and program by many outside key opinion leaders as well as the advisers that I mentioned. I think the issues that we anticipate are basically just the known issues around our program. Bardoxolone is a new molecular entity with a novel mechanism of action. It has a very different mechanism than the agents that have previously been approved in the CKD space, like blood pressure medications and SGLT2 inhibitors. It directly treats the inflammatory processes. We see nice improvements in GFR that are – have not been observed frequently. Obviously, the effect of those was a key feature of the design of the clinical program, the off-treatment, key secondary analysis. I think that those issues will be kind of the key issues that will be explored in the review process and at the AdCom.
Yigal Nochomovitz: Okay. Got it. And just one quick follow-up. Do you have any thoughts on why the FDA opted for standard not priority review, given the severity of Alport syndrome and the lack of any approved therapies to treat Alport?
Warren Huff: Well, I think it’s the same answer. It’s that the bardoxolone is a new molecular entity. Again, it has a novel mechanism. It’s unlike other agents that have been approved. And so it presents novel review issues that I think they wanted to give themselves plenty of time to review. I’d also just note that they have deferred the PDUFA dates on two other programs in review recently.
Yigal Nochomovitz: Got it. Thank you.
Operator: The next question is from Carter Gould of Barclays. Please go ahead. 
Carter Gould: Good morning, and congrats on the FDA acceptance. I guess coming back to the sort of omav Type C meeting, can you just discuss at a high level sort of the range of potential scenarios coming out of that meeting as you think about it? And how you anticipate communicating feedback from that meeting? Could that be something delivered intra-quarter? Or are we going to have to wait until the 2Q call for that? Thank you.
Warren Huff: Colin, would you like to address that?
Colin Meyer: Sure. And so we’ve provided guidance since last year that FDA has requested additional evidence of persuasiveness before they are willing to accept an NDA. And so we’ve been working collaboratively with the division to try to provide additional analyses that we hope will influence their view on our development program. And so we’re – we need to have the meeting with them in the second quarter, this quarter. And we will be prepared to release the findings of that when it’s clear to us, and we will provide guidance on what the next steps will be with the development program.
Operator: The next question is from Maury Raycroft with Jefferies. Please go ahead.
Maury Raycroft: Hi, everyone. Good morning. Congrats on the progress, and thanks for taking my questions. I – just to follow-up on the Friedreich’s Ataxia question. I guess, just checking if you have any additional clarity on EMA’s views on your Friedreich’s Ataxia data? And is there a path forward in the EU that could be independent of the second pivotal?
Colin Meyer: We’re in the process of seeking guidance from the EMA, and we will incorporate that into the development program. And so at this point, we have no additional comments on what they may require of us.
Maury Raycroft: Got it. Okay. And then for the Kirin Phase 3 study in diabetic CKD in Japan, data aren’t expected until first – F’22. Just checking if there is any possibility for FDA to request blinded data from that study or potentially from the FALCON ADPKD study to augment their Alport review? Or could Reata potentially submit some blinded data from either of those studies to help with the review?
Colin Meyer: Yes. So Maury, those studies are ongoing, and we view it as highly unlikely that they would request any data from those two ongoing trials that, by the way, are overseen by an independent data safety monitoring board. And so our NDA filing for Alport syndrome, it doesn’t just include the approximately 200 patients that we treat with bardoxolone, who have Alport syndrome. It includes a dataset of 2,500 people who have been exposed to bardoxolone with hundreds of other placebo-treated patients. And so in our view, it’s a very large dataset for FDA, especially for such a rare disease. We believe the safety profile is very well characterized. And as I’ve discussed, this call, in the past couple of calls, in the Alport syndrome program, the adverse event profiles were very similar to what we’ve seen in prior trials. The frequency of serious adverse events was actually cut in half in the bardoxolone group relative to placebo. There were no signals for fluid retention that we observed in a trial in 2012 in Alport syndrome trial or any trial since then that have enrolled over 600 and exposed 600 people to bardoxolone. And so from our perspective, the safety data is very well described. And just one last point is that we’ve been able to characterize the specific adverse events of interest that we’ve seen. And for most of them, we have peer reviewed publications that we believe describe the underlying mechanism of action, pharmacology. And clearly, all this is very well detailed in the NDA that we submitted. And so it’s our view that the safety profile is very well characterized.
Maury Raycroft: Great. It’s all helpful perspective. Thanks for taking my questions.
Operator: The next question is from Annabel Samimy of Stifel. Please go ahead.
Nick Rubino: Good morning everyone. This is Nick Rubino, on for Annabel. Our congratulations as well and thanks for taking our questions. I think we along with almost everyone else as well expect the topic of hyperfiltration to be front and center at the AdCom. What can you provide to the FDA to get them comfortable with the eGFR increases? Can you demonstrate that the eGFR increases are due to increases in glomerular surface area rather than forced filtration? And are there other factors that you’re using to demonstrate lack of damage?
Colin Meyer: Yes. So we, obviously, as I talked about on many calls over the past few years, we’ve spent literally over a decade to characterize the novel profile of bardoxolone. And so from a preclinical perspective, we’ve conducted a few studies, including working with one of the top labs in the world, Professor Kashihara in Japan. He is the President of the Japanese Society of Nephrology. And using sophisticated imaging techniques in living animals, he has shown that bardoxolone increases single-nephron GFR without increasing pressure in the kidney, and it’s due to an increase – the increase in GFR is due to an increase in filtration surface area, which is constricted in many forms of CKD. And so those data have been presented publicly. We have other peer reviewed manuscripts that support these findings. We’ve demonstrated in other models of hyperfiltration specifically that bardoxolone and analogs are protective. And so from our perspective, we’ve thoroughly characterized the specific mechanism of action in relevant animal models. And there is actually no controversy about what the drug is doing. I think clinically, it’s important to note that you can never prove mechanism in people. And since the FDA acknowledges that, if they have required a trial design that, in their view, would allow them to determine if the mechanism of action of bardoxolone is beneficial or harmful, independent of mechanism, and that’s why they gave us the 2-year trial design for both Alport syndrome as well as for ADPKD. Recall, this is the same endpoint, the off-treatment endpoint that served as a basis for approval for tolvaptan for ADPKD. And so in FDA’s view and the view of the National Kidney Foundation’s working group with FDA and EMA, in settings where there is an acute effect of a drug that either increases or decreases GFR, the way to appropriately assess for any disease-modifying activity is to withdraw the drug, which we have done twice in the Alport syndrome trial, and both times have demonstrated a persisting increase in GFR versus placebo, which not only rules out harm, but it validates that the on-treatment changes are beneficial. And recall that they are sustained for 2 years versus placebo and 3 years on the ongoing extension study. The one known profile of hyperfiltration is with amlodipine, a specific type of calcium channel blocker that in a study called AASK resulted in a very small transit increase in GFR that peaked at month 6 and was lost after that. And so the profile is very different. We observed sustained large increases for 3 years. And once again, the purpose of the off-treatment endpoint was to address this very question. And so once again, I think clinically, this is well described. Yes, hyperfiltration may come up. But we think we have literally spend years to address this question, both mechanistically and clinically.
Nick Rubino: Great, that was a awesome review. Thank you. And that actually kind of leads into my follow-up, in terms of how much of the 3-year data from EAGLE are you going to be able to discuss with the FDA by the time of the AdCom?
Colin Meyer: So we have publicly disclosed data, obviously, from the EAGLE trial through 3 years, and that’s Phase 2 patients. We have many patients from Phase 2, but also the Phase 3 trial, who are still being followed in the EAGLE trial. All of the data that we had, but the data cut used for the NDA were included in the NDA itself. And so publicly, we will disclose data as it matures, but FDA has access to all those data. And we think that it provides additional support beyond the primary CARDINAL data.
Nick Rubino: Great. Thank you very much.
Operator: Your next question is from Brian Skorney of Baird. Please go ahead.
Brian Skorney: Hey, good morning guys. Thanks for taking the question. First one on bardoxolone, as part of your partnership with Kirin, I’m just wondering if you will be able to submit any of the safety data to the FDA during the course of the review of bardoxolone for AYAME? Obviously, there is a lot of information in that. But actually, I am just not sure what the partnership sharing privileges are, and if the FDA would have access to that?
Warren Huff: No. I mean, under the arrangement, we will have access to the data when the trial is completed, but it is an ongoing blinded study. So we wouldn’t anticipate being able to use that data during the current review of the Alport syndrome NDA.
Brian Skorney: Got it. And then on the Type C meeting for omav, do you know currently who’s going to be in attendance there? And I know that FARA has the petition out to the FDA. I was just wondering if you know if FARA has a meeting with FDA. I know other examples where senior leadership hold meetings with advocacy groups around new drug applications outside of the sponsor.
Warren Huff: No. We actually don’t know actually who will be in attendance at the Type C meeting. We make requests, but you really never know until you actually attend the meeting. And we’re not privy to or aware of what the FARA’s activities are with respect to their interactions with FDA.
Brian Skorney: Great, thank you.
Operator: The next question is from Charles Duncan of Cantor Fitzgerald. Please go ahead.
Charles Duncan: Good morning everyone. Warren and team, congrats on the progress of NDA acceptance. Also, clearly, certainly, Colin seems ready for an AdCom presentation. I had a quick question on the omav program. I guess I’m wondering if there is a possibility for another pivotal study, I think you kind of outlined that in – or pointed to that on Slide 35. But would the next steps be another pivotal study in Friedreich’s Ataxia or could you see moving to another potential indication or moving on to a different candidate, what do you anticipate for the neurology program going forward?
Warren Huff: No. I think we’re committed to pursuing the approval of omav for Friedreich’s Ataxia. Despite the fact that we have not yet been able to submit an NDA and we may have to do another study, we have a very well done pivotal study, the largest one that’s been done in FA patients with a clearly positive result. It will be a disappointment if we have to repeat or add to that, but we are prepared to do it. And we feel like there will be high enthusiasm for the study and that we could execute it in a very efficient way and with a relatively low-risk since we have already have one positive pivotal study in hand. So, we very much believe that the pharmacology is applicable to a broad set of neurodegenerative diseases, as Colin outlined earlier, but we have business to finish in FA first.
Charles Duncan: Yes. That suggests another question to me that I will take offline regarding strategy, but I did have one question for perhaps Dawn or Colin regarding the total addressable market, when you think about ADPKD and patients that have high percent or probability of progression? And then those patients included in the MERLIN study, can you give us a sense of the total percentage or total amount of patients that you could see being able to treat with bardoxolone if it demonstrates the clinical activity that it’s shown in Alport syndrome?
Colin Meyer: So Charles, are you specifically referring to the MERLIN patient population or ADPKD only?
Charles Duncan: Well, it’s kind of both, ADPKD for those patients who have high probability of progression, but also MERLIN, if you could group those or are you going to split them up?
Colin Meyer: So, we don’t have estimates right now, but we think the number is obviously much larger than just the Alport syndrome and the PKD population. I think what’s different about our approach than other approaches recently is that there has been several trials conducted with agents that affect pressure within the kidney, namely SGLT2 inhibitors that complement ACE inhibitors and ARBs. They treat the underlying cardiovascular disease that’s typically systemic that affects the kidney and promotes progression. We are targeting intrinsic kidney disease using the MERLIN trial, and so trying to exclude out the patients that have cardiovascular disease and identify those that still have rapidly progressive disease despite all available therapies. And so we are not willing right now to comment on that opportunity, but I think it’s broad.
Charles Duncan: But you see this being able to provide a target product profile that may ultimately be, if not disease-modifying certainly a delay to kidney progression?
Colin Meyer: Yes, for patients who are at risk and this ties into our thesis for Alport syndrome. And as I discussed here and I think it’s been lost a little bit that Alport syndrome is extremely rapidly progressive. And so the first few slides I presented I think people have to, okay, it’s Alport syndrome, progresses a few more minutes faster, but it’s still kidney failures far off in the future. But for Alport syndrome patients, it seems 5 to 9 years on average. I mean, you see the figure and the plot. And so we are targeting patients like that who likely have some inherited or acquired disorder and are at risk for progression to kidney failure, not just in their lifetime, but in the near-term.
Warren Huff: Yes. And not just in the near-term, but in the near-term for relatively young patients.
Charles Duncan: Excellent. Thanks for taking the question.
Manmeet Soni: And that’s the whole concept, I think that’s the whole concept for MERLIN, right where we are only concentrating on the risk of rapid progression in those multiple etiologies, right, of CKD.
Charles Duncan: Appreciate the color, Manmeet.
Manmeet Soni: Thank you.
Operator: [Operator Instructions] The next question is from Joseph Schwartz of SVB Leerink. Please go ahead.
Joseph Schwartz: Hi, thanks and best wishes heading into a couple of very important FDA meetings soon. I was actually hoping to ask on both of them for bard and omav. First on bard, the FDA seems to be making life difficult for many sponsors lately by taking issue with things that seem to be taken for granted in the past. So, how confident are you that you are on the same page with the division reviewing bardoxolone and that you have followed their guidance to a TE, because this increasingly seems like it will be required to bring any new markets – drugs to market nowadays?
Colin Meyer: Joe, so I think that we have been transparent with our discussions with the agency dating back to our pre-IND meeting with Alport syndrome, which we had in 2016. They gave us the design for the Alport syndrome trial, which we’ve executed. They gave us the same design for the FALCON trial. And as I mentioned previously, it’s the same endpoint that serves as a basis for approval for tolvaptan. And so from our perspective, the design is what they told us to do. We’ve executed it. We don’t believe there is any discrepancies between what they have told us to do and what we’ve executed. From an analysis perspective, we defined a statistical analysis plan. Of course, we have filed it with the FDA being transparent with the way that we analyze the data. So I think that we’ve done all that we can do to transparently conduct and analyze the trial and provide the data to FDA. And I think it’s distinct from other. So I don’t think that – I don’t think that the recent issues that you may be alluding to are relevant to us.
Joseph Schwartz: Okay, yes. That’s helpful. Thanks. I mean, I recall that you refined a STAT plan that seemed to be good proactive work. So hopefully, that will help. Now just on omav. I was curious how much of your upcoming Type C meeting will focus on the delayed-start analyses that you have now versus establish what’s required for the next pivotal trial for omav? And what is the purpose of discussing the former if the latter is already expected to be required?
Warren Huff: We’re going to discuss the overall set of data that we’ve generated and so what’s new are the delayed-start analyses. And it’s important because we believe the data demonstrate disease-modifying activity and if FDA agrees that interpretation that would put them in a position where they will view the development program differently. And so we are hopeful of that once again, upon review of all the data that we will have a successful meeting. And once again, we will provide guidance about the outcome once it occurs. But it’s not just about delayed-start analyses. It’s about the overall development program and data generated to date.
Joseph Schwartz: Great. That’s helpful. Thanks for taking my questions.
Warren Huff: You are welcome.
Operator: Thank you. And I’m showing no further questions in the queue at this time. Ladies and gentlemen, thanks for your participation on today’s conference. As a reminder, an audio recording of the call will be available shortly after the conference call on Reata’s website at reatapharma.com in the Investors section. Thank you very much for your participation. You may now disconnect.